Operator: Good day, ladies and gentlemen. Welcome to the AAON Fourth Quarter and Full-year Earnings Conference Call. This call is being recorded. I would like to turn the meeting over to Mr. Norman Asbjornson. At the end of the presentation we will open the call for question-and-answer. Please go ahead sir.
Norman Asbjornson: Good afternoon. Welcome to AAON’s fourth quarter report for 2013 and total year of 2013. Before going forward, I will read the forward-looking disclaimer. To the extent any statement presented herein deals with information that is not historical, including the outlook for the remainder of the year, such statement is necessarily forward-looking and made pursuant to the Safe Harbor provisions of the Securities Litigation Reform Act of 1995. As such, it is subject to the occurrence of many events outside AAON's control that could cause AAON's results to differ materially from those anticipated. Please see the risk factors contained in our most recent SEC filings, including the Annual Report on Form 10-K and the Quarterly Report on Form 10-Q. I'd like to now introduce Scott Asbjornson, our CFO, who will take the financial portion.
Scott Asbjornson : Welcome to our conference call. I'd like to begin by discussing the comparative results of the three months ended December 31, 2013 to December 31, 2012. Net sales were down 5.9% to $73.4 million from $78.0 million. Net sales decreased due to changes in our product mix for units produced in the fourth quarter of 2013, as compared with 2012. Gross profit increased 8% to $20.2 million from $18.7 million. As a percentage of sales, gross profit was 27.5% in the quarter just ended compared to 24.0% in 2012. The improvement in gross profit can be attributed to decreases in raw material costs and manufacturing efficiencies. Selling, general and administrative expenses increased 24.1% to $8.2 million from $6.6 million in 2012. As a percentage of sales, SG&A was 11.2% of total sales in the fourth quarter of 2013 and 8.5% in 2012. The increase in SG&A from the quarter ended December 31, 2013, was primarily due to higher profit sharing expense, warranty and employee compensation. Income from operations decreased 1.7% to $11.9 million, or 16.2% of sales, from $12.1 million or 15.5% of sales. Our effective tax rate decreased to 35.2% from 37.3% in the fourth quarter of 2012. The income tax provision for 2013 reflected benefits related to the R&D credit and the Indian employment credit for tax years 2013 and 2012. These federal credits were retroactively reinstated on January 2, 2013. No Research & Development Credit or Indian Employment Credit benefits were recorded in 2012. Net income increased 2.6% to $7.8 million, or 10.6% of sales, from $7.6 million or 9.7% of sales. Diluted earnings per share was $0.21 per share for both fourth quarter 2013 and 2012. Diluted earnings per share were based on 37,107,000 shares versus 36,944,000 shares in the same quarter a year ago. The results of the year ended December 31. Net sales were up 5.9% to $321.1 million from $303.1 million. Gross profit increased 27.4% to $89.8 million from $70.5 million. Gross profit as a percent of sales was 28.0% for 2013, compared to 23.3% in 2012. Selling, general and administrative expenses increased 29.4% to $34.0 million, or 10.6% of sales during 2013 from $26.3 million or 8.7% of sales, primarily due to increases in profit sharing, warranty, salaries and benefits. Income from operations increased 26.2% to $55.8 million or 17.4% of sales, from $44.2 million or 14.6% of sales. Our effective tax rate was 33.3%, compared with 38.1% in 2012 due to discrete benefits related to the Research & Development Credit and the Indian employment credit. Net income increased 36.8% to $37.5 million or 11.7% of sales from $27.4 million or 9.1% of sales. Diluted earnings per share was $1.01 per share versus $0.74 per share. Diluted earnings per share were based on 37,058,000 shares versus 37,048,000 shares in the same period a year ago. At this time I would like to turn it over to our Chief Accounting Officer, Rebecca Thompson, to discuss our balance sheet.
Rebecca Thompson: Thank you, Scott. Looking at the balance sheet you’ll see that we have a working capital balance of $77.3 million compared to $51.9 million a year ago. Our current ratio is approximately 3.1:1. We had no outstanding debt at December 31, 2013 or 2012. Our capital expenditures were approximately $9 million and our budget for 2014 is approximately $13 million. Shareholder equity per diluted share is $4.43 at December 31, 2013, versus $3.73 a year ago. We have total cash and investments of $49.8 million at December 31, 2013 compared to $19.3 million at December 31, 2012. We paid cash dividends of $7.4 million in 2013. I’d now like to turn the call back over to Norm, who will discuss our results in further detail along with the new products and outlook for 2014.
Norman Asbjornson: Net sales were as stated up 5.9% for the quarter and 5.9% for the year. Sales increased due to our ability to gain market share. Our price increases were approximately 1.5% on an annualized basis. We had lot of benefit from our redesigned products. We are presently doing well in the replacement market and the new construction market. The replacement market had as stated in previous years, a material advantage due to accelerated capital depreciation scheduled by federal law. That has now disappeared and so we're more back into a normalized situation. I would anticipate our replacement market to still be a little bit more than 50% of our sales but not significantly so. We are as discussed previously in the geothermal in what might be described as a niche market portion of the geothermal. The geothermal still was gaining acceptability; however they probably have suffered somewhat this past year due to the substantial decrease in the cost of natural gas. The other product market that we’re gaining market share in and one which we have paid a lot of attention to in the new product designing is chillers and air handlers. The off shoot it of the air handler product is also split systems which is in air handler combined with condensing unit. Both of those are significant markets that we are just beginning to penetrate. We have an additional market share to be penetrated in what is called the 4x4 unit. These units are primarily used in high rise buildings all the way up to the tallest buildings built. It is also applicable to some smaller buildings but it’s a real market for us to reach towards the high rise market. Other markets in which we’re doing some growth is in the part sales. We had a significant upswing in part sales going from little over $12 million in 2012 to nearly $16 million in 2013. Most of this is attributable to the fact that we built a new parts warehouse and we’re able to handle parts business much more effectively than we had in previous years. And with that new parts’ warehouse we are putting increased attention to the sale of parts and we expect continued increases in part sales more so than in any equipment sales. So that is probably one of our stronger growth markets and although it’s a smaller market and therefore it’s a high percentage market growth but not so much in absolute dollars. The other market that in addition to some of the new markets we’re going into is one we’ve been in but not very effectively until a couple of years ago when we brought out a new 2 to 5 ton rooftop. The 2 to 5 ton rooftop market comes very close to equaling the product above 5 tons in $200 dollars in a year’s time. So it’s a very significant market to the entry but it is also a very cost competitive market and a market in which a lot of other companies are participating. We are participating in clearly premium price and premium featured quality unit and it is gaining market share fairly rapidly, and so it will be a growth market for us and it is a huge market. As I said, it equals or very close to equals the market for all the other rooftop units above 5 tons. What is happening in the various business categories and what do see going forward? Well, the preliminary view toward what is going forward, we find the Architecture Building Index. The Architecture Building Index by definition of the architects precedes the actually building by nine to 12 months. So looking at all of 19 for 2013 would give us a reasonable idea of what we can expect for most of 2014. What we can expect is that the billing on the Architect Building Index is probably -- it’s been running between a little than 50 and up as high as 55. If we had to guess the average it's probably somewhere between 52 and 53. So that means it’s up about 5%. If we subtract the salary increases which occurred within that group of people, we’re probably looking at a very nominal 1% or 2% increase in actual work done by them. So there is a very modest amount of additional billing of building after. Looking at where it next shows up in the index that we get from the U.S. Census Bureau and that one that we have there would tell us the following things. It would tell us that the construction was growing fairly respectably during 2011. 2012 it started flat lining and it came in 2013 out of 2012, in somewhat of a downswing which continued on up until about June of 2013, and then went back up about where it had been 2012, rising in the fall of 2013, up above where it had been previously, and then regressing back down in last couple of months and I know my information is up-to-date as of January. So in general, if I had to say what is occurring in Architect Billing, it’s --as I said there modest up upswing likely to occur in 2014. In 2013, if I had to say what the average was is probably slightly negative. Still you could say that whatever we did in 2013 we did in a somewhat negative market product availability. Since we went up by 5.9%, my guess would be that of that probably a little over 1% and 1.5% of it was attributable to inflation and the rest of it was due to increased market share in a slightly down markets. So we probably gained somewhere around 5% market share last year. Looking forward based upon what I said earlier about the Architect Billing being up maybe a 2% more than the increase in their salaries; that would tell us we’re looking at a little bit healthier market potential than we’ve been experienced this year. If we take that the increase in market availability, apply the market share that we’ve been able to take and then realize that we have some other new products that’s also going to help us, we probably are going looking at it upside, kind of top end of maybe 10% increase in volume mixture. And if we look at what happening to us in the financial world, we see at the present time general decline seemingly shaping up in commodity costs which would relate to a lowering of our commodity cost. However, that doesn’t translate into all of our material because a high percentage of our material is purchased finished products, in another words motors and compressors, et cetera Those are still more declining and so probably if you took the slight decline that appears to be happening in the commodity part, offset it by what’s happening in purchase parts we’re probably looking at somewhere round in neutral cost of material. Add in the other things such as labor cost, overhead costs et cetera, we’re looking at a very modest inflationary situation. So in general it would tell us that the probably is we should be able to increase our volume little bit more than we did last year as a percentage and we should be able to hold somewhere around the same bottom line as far as percent of profit. We might get a little bit in recess in there but it will be offset by the increased volume. So we will have a little more profitability and some more revenue for the year. The company is running very well as has been stated before, we’re debt free. We have somewhere around $50 million in cash lying around and investments in cash and there are no real big clouds on the horizon other than the uncertainty in the economy. The Company is becoming healthier in a lot of ways because we are working on protecting a lot of methods that we have for reducing our costs and increasing productivity. So no big issues that we see at this point in time, nice continuing year. Our capital expenditures we expect to increase a little from the $9 million to somewhere around the $13 million. Most of that is planned to go into some correction to our buildings. It will do the following. It will allow us to restructure a couple of our production lines and it will allow us to make some of our existing productions lines a slight bit more efficient. The amount that we have in backlog this year is $45.3 million going into the year compared to $43.6 million a year ago, slightly more backlog than we have a year ago. Can’t tell you if there's anything else that's of great importance that I can think at this time. So operator, would you open the line for questions?
Operator: Thank you. (Operator Instructions) The first question is from Jon Braatz of Kansas City Capital. Please go ahead.
Jon Braatz - Kansas City Capital: Couple of questions. First of all, it’s been a very harsh winter in the first quarter here. Any impact on delivery, shipments et cetera during the quarter because of the winter?
Norman Asbjornson: It actually effected I think a couple of things. I think it has psychological effect and smoked down people’s commitment to building and so the input of orders was somewhat altered as well as the ability to ship into jobs because any part of the country, where it had adverse winter, it slowed down the construction process and thereby pushed out the time table of building the building in the long winter, the need for our equipment. So it was a struggle a little bit because of the bad weather in both order input and the shipping. I don’t think that on the whole of the year, I don’t think it is going to affect the whole of the year particularly but I think it’s going to definitely affect relationship of the first quarter compared to the rest of the year, compared to what we would normally do.
Jon Braatz - Kansas City Capital: Okay, so maybe little a softness in the first quarter relative to the remainder of the year?
Norman Asbjornson: That’s correct. And I think we’ll probably pick it back up through rest of the year but first quarter is likely more soft than we thought it would be.
Jon Braatz - Kansas City Capital: Okay. One of the other things that you have mentioned in the SG&A line is higher warranty cost. What’s driving the higher warranty cost? Is it a higher price item and higher cost associated with it, but trying to get a sense of what’s the driver of the high warranty expenses?
Scott Asbjornson: It’s Scott Asbjornson. The warranty increased slightly as far as the actual charges over the year. The bulk of the difference is in the calculation of the reserve that was required for year end. The actual expenses only increased about $600,000 over 2012. So.
Jon Braatz - Kansas City Capital: Why the higher reserve then?
Scott Asbjornson: The higher reserve because there was a slight increase in the failure rate, just a fractional percent, which when you extend that at over the full backlog that which we have to apply it, required a larger reserve. That doesn’t necessarily mean that that reserve will fully be needed.
Jon Braatz - Kansas City Capital: Right, I understand. Would you have to -- could you -- will you recalibrate that going forward if the actual experience is less than what you’ve been reserving for?
Scott Asbjornson: Yes we recalculate that every quarter and so it's recalibrated based on the losses that have been incurred during the quarter or the charges which have been incurred as well as the volume and the aging of the historical sales.
Jon Braatz - Kansas City Capital: Okay. Lastly, Norm, the cash balances, cash and investment balance getting pretty high, relatively speaking and if you have another good year in 2014, by my calculation after CapEx and dividends you could generate another $30 million in free cash flow. With the stock at the price that it is, it doesn’t seem to be necessarily a good thing to repurchase stock. Maybe a dividend increase could be possible but any thoughts on where you want to go with that cash?
Norman Asbjornson: You pretty well analyzed it as we have. We don’t see the likelihood of going out and buying a lot of stock. There is soften -- been pretty soft today.
Jon Braatz - Kansas City Capital: Yes. Maybe tomorrow you can.
Norman Asbjornson: Maybe if it's attractive to me. But clearly, if this comes back, which I expect it to do in the next few days, then yes we would not have a big push to buy back stock. The probability is one of two things or a combination of the following two things. We’re in a serious discussion on both of them. One, there is possibility, we’re looking at some companies that might be on the market that might be appealing into us and there is also a strong probability that we will increase the dividend before the next dividend payment which occurs July 1st.
Scott Asbjornson: I think I have one statement regarding this first quarter. So people are aware of it when we get there. It is we do not currently have a scheduled price increase within this quarter. So the backlog, which last year was very strong at the end of the quarter, reflected order input that was in part driven by the presence of a price increase effective April 1st.
Norman Asbjornson: Correct. So, what he’s really telling you is at the end of this quarter we’re going to have a reduced backlog compared to last year because we accelerated the entrance of orders via price increase which was applicable in the first quarter of last year and is not this year. So there will be a negative as far as not having as much backlog at the end of the quarter but all that price increase really did was pull forward orders that we would have gotten later in the year. So over the year in total it’s a [indiscernible].
Operator: Thank you. The next question is from Joe Mondillo of Sidoti & Company. Please go ahead.
Joe Mondillo - Sidoti & Company: Just to jump on that last comment, what are the pricing plans for the year in terms of any increases?
Norman Asbjornson: Well, at the present time unlike in the past, when we could see the definite cost increases occurring, we don’t at this point see -- planning -- we’re not planning a price increase at this point because we’re doing quite well on the margin and we notably will give up some volume and we think we can generate more bottom line with more volume than we can with price increase. So that can change of course if any of the cost structure start going in another direction. But at this moment in time, our anticipation is that that’s not going to happen.
Scott Asbjornson: It helps to point out Joe that last year that price increase that was put into effect because that surge in backlog had occurred at the end of the first quarter, the price increase was somewhat delayed in its beneficial effect. So we’ve been saying and it was about 3% to 4% price change but that was only on roughly half of last year’s volume.
Joe Mondillo - Sidoti & Company: Okay. So you’ll see some benefit half the year just from that alone.
Norman Asbjornson: Because we didn’t get it, we didn’t get the orders until the end of the first quarter and they really didn’t start coming out of the backlog until the third quarter.
Joe Mondillo - Sidoti & Company: Right. Okay. One question I wanted to ask was on the gross margin and I’m just trying to see sort of your take on it in terms of big picture. 2012 you saw 23% and in 2013 on only probably about 5% volume growth, you jumped to 28%, pretty impressive. Just wondering where you’re seeing that coming from. Is that a product mix, is that input, output prices, is that productivity. If you can somehow I guess distinguish between those factors and what the biggest factors are, that would be helpful.
Norman Asbjornson: Well, for last year I'd say the biggest factors have been the beneficial impact of commodity prices that we experienced in relationship to that price increase which helped us in the later part of the year as well as the efficiencies from the machinery that we have installed back in 2011 being more fully utilized.
Joe Mondillo - Sidoti & Company: Okay. So, nothing really of a product mix of any sort?
Norman Asbjornson: You know the product mix was not necessarily the main driver in what think caused the margins to increase in the last year.
Joe Mondillo - Sidoti & Company: Okay. So, I guess given that we don’t see any sort of major inflation in input prices, the margins that you saw last year should be pretty sustainable?
Norman Asbjornson: That’s what our anticipation is, yes.
Joe Mondillo - Sidoti & Company: Okay. And then -- so SG&A as a percent of sales, it sounds like, that you are expecting sort of the levels that you saw, sort of that 10.5% to be little sort of similar this year. Is that correct and is there any way that you’re expecting that to trend down at all?
Scott Asbjornson : Well the biggest drivers of that were one the increased profit sharing, because profit sharing being a percentage of our sales, as a percentage of our sales that fall to profit gets larger, then the profit sharing compliance gets larger. So that drives part of it and that was one of the larger parts. The other larger part was warranty process and the calculation for that. 2012 was a particularly low year for that accrual impact, and 2013 swung a little bit to the higher side. We’re anticipating that it may trend back down in 2014 a little bit lower than what we experienced in 2013. So we’re expecting some improvement in that as a percentage of sales. But to the extent it’s been driven by profit sharing, we don’t really want to see that get lower because that’s a beneficial effect.
Joe Mondillo - Sidoti & Company: Okay. Also in terms of the distribution business, this is a new business of yours. It’s only a small part of the total business. But just wondering if you could talk about how fast is that growing, where do you see that going over the next two - three years and what kind of sort of profitability does that business carry, compared to the 20% gross margins that you’re seeing overall?
Norman Asbjornson: As explained, that primarily was -- it came about by that new place we have for storing of parts, nowhere else for parts, [audio gap] lack of responsiveness before we have that building built. We have now reclaimed that this past year we got very responsive. We were doing a very fine job of responding to customers' requests and so we probably claimed back most of that market. Now we have broadened our scope a little bit and since many of our parts are uniformed parts throughout the industry, in other words they are the same parts used on other people’s product, as well as our product we think we’re going to start capturing a little bit of the other market that we -- doesn’t necessarily relate to our own product. And our anticipation is that that’s going to grow somewhere from little less than 16 million this past year to a little less than 20 in 2014. As far as some margin on it, it comes close to doubling the margin on equipment.
Joe Mondillo - Sidoti & Company: And then couple of house -- just housekeeping items. The tax rate, what are you expecting for this year? I guess from your prepared remarks you’re anticipating that to go up closer to 40. But what are you looking at there?
Rebecca Thompson: We’re looking more at a tax rate of about 36 overall effective rate. There are some credits that we won’t have for 2014 that we’ve had previously unless the tax law changes.
Joe Mondillo - Sidoti & Company: And then the CapEx you talked about, the $13 million, what are you using that for? That’s a bump up from $9 million. So what’s the increase accounted for?
Norman Asbjornson: Well basically we’re on a long term plan for getting our buildings in as good condition as we can in order for not only future growth but increasing productivity of what we’re doing, and we’ve identified lots of projects and we’ve already put them in particular year than we plan on spending the money. What will happen during 2014 and in fact is happening is that our Tulsa facility, we’re redoing a little small amount square footage and redoing the inside of the building a little bit, all of which is going to primarily improve productivity as well as allow for additional volume. In our long view [ph] facilities, we did this -- we did have some CapEx that we spent during -- partially last year and part of it fell over into the first part of this year on new machinery and it will improve our productivity in the sheet metal department, and along with that we have to spend money on the building. So the building is in there as well as some of this new equipment that we're putting out. The rest what will happen were included now throughout the year, will probably primarily relate to Tulsa where we’re going to do another building addition primarily to get the building ready for a third addition to come on next year, either the end of this year or next year, all of which will foot our buildings in Tulsa on the [indiscernible] building. It will put all of them in very good condition for a substantial improvement in volume. It will have a building no question -- the building and sales up to a $1 billion capability. The inside of the building on the east side of the street will still have some rearranging that won't be done until we build a new laboratory and take the laboratory all on the east side and that is hopefully going to begin happening a year from now but before that happens, we have to finish doing all of our internal design work on the things that we're going to do in that laboratory and make sure they are all going to fit in building and how they are going to fit in the building before we design the building. So, those are kind of the things we are working on this year and into next year.
Joe Mondillo - Sidoti & Company: Okay. And I think you answered my next question, which was capacity. Did you say that your actual sort of footprint or your property there, you think you enough capacity, one serious addition done by next year for a $1 billion worth of sales; is that correct?
Norman Asbjornson: That is correct. In this past year, we did buy an additional 37 acres adjoining the west facility and that has no immediate plans. We did purchase it.
Joe Mondillo - Sidoti & Company: Okay. And I guess just lastly, market, are you seeing -- I guess what are the stronger markets that you're selling to that you're sort of just gaining market share?
Norman Asbjornson: Okay. Let’s rundown through the markets so everyone understands. I am going to read of the 2013 January number. Just January alone how many dollars, according to the census were spent. One that we include, but it’s a very weak market for us is lodging and that was a $16.5 billion January market. Office buildings, which were strong was a $41.7 billion market, commercial was a $51.8 billion. We are very strong in that. We are fairly strong in the healthcare market, which was $38.7 billion. Educational, where our primary strength is probably was a $77.8 billion market. Another one that we are pretty weak in, but it’s a very small market is religious at $3.2 billion and another one that we're reasonably strong in is manufacturing, which was $51.5 billion. And consequently those are our strengths. Now what are those markets doing and let me tell you what they did, January to January. The lodging, which I said we were very weak in, went up an amazing 44.8%. Next one -- and unfortunately we're not strong -- next one which we're pretty strong in our office went up 11%. The next one, commercial, which we are fairly strong in went up 12.4%. The next one is healthcare, went down 4.5%. The next one we are very strong, which is the biggest market at $77.8 billion, went down 2%. The third one which was religious, which we're not much of a leader [ph] with went down 12.1%. Manufacturing went down 7.1%, agri went up 7.1%. So, if you look at that and then if you summarize all those numbers, those billions, just on a January to January, without talking about what I talked about earlier about the long trend line, the difference between Januarys is 5.4% up this year compared to last year. But if you take a look at the year as a whole, that’s what I'd say. It looks like it’s going to be up a little bit but it’s not going to be a very big month. I would love to think it was going to stay at 5.4% for the rest of the year but I wouldn’t want to bet a lot of money on it.
Joe Mondillo - Sidoti & Company: So, I track that data as well. I guess what I was trying to get a little bit of better picture was, is that a picture of what your actual business is doing or is there any specific markets where you're definitely [ph] really able to take more market share than maybe some of the others ones?
Norman Asbjornson: The one which we're probably taking most of the market share of I would say right now is the educational market, which was the biggest market at $77.8 billion in January. However it was down 12.1%, the revenue down 2% from the previous year. So that’s probably where we're taking the biggest chuck of the market and that is happening primarily because I said earlier that roughly half of all rooftop dollars sold, sells in the 2 to 5 ton market and rest of the rooftop market, there is approximately an equal dollar value and our new 2 to 5 ton product is doing particularly well at finding a home because it is definitely distinguishing itself by two things. One, getting a little bit more money but being a lot more product for a very little bit more money and the lot more product is in just about every aspect of it. It measures up very well against anybody else. And so we have become very more competitive and that is a major part of the educational market, that’s small machine.
Operator: Thank you. (Operator Instructions) We have no further questions at this time. Please continue.
Norman Asbjornson: All right, well, thank you everyone for attending our fourth quarter and full year 2013 summary. We will look forward to you at the end of this quarter, same time today. Talk to you then. Bye.
Operator: Thank you, ladies and gentlemen. This concludes the conference call for today. We thank you for your participation. You may now disconnect your lines, and have a great day.